Operator: Good morning. My name is Kathleen, and welcome to the Roblox First Quarter 2025 Earnings Conference Call. All lines are on mute. After the speakers opening remarks, there will be a Q&A session. [Operator Instructions] Thank you. I would now like to turn the call over to Stefanie Notaney. You may begin your conference.
Stefanie Notaney: Thank you, Kathleen. Good morning, everyone. Thank you for joining our Q&A session to discuss Roblox's Q1 2025 results. With me today are Roblox Co-Founder and CEO, David Baszucki; and CFO, Mike Guthrie. Our shareholder letter, press release, SEC filings, supplemental slides and a replay of today's call can be found on our Investor Relations website. Our commentary today may include forward-looking statements, which are subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those described in our forward-looking statements. A description of these risks, uncertainties and assumptions are included in our SEC filings, including our most recent reports on Form 10-K and Form 10-Q. You should not rely on our forward-looking statements as predictions of future events. We disclaim any obligation to update these statements except as required by law. During this call, we will also discuss certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP measures can be found in our press release and supplemental slides. With that, I'll turn the call over to Dave.
David Baszucki: Hey, thank you and good morning and welcome today. I want to share our results and highlight surpassing our guidance that we provided in our Q4 earnings call and also surpassing what we shared with you on our 2023 Investor Day goals. So let's dive in first with some numbers that are in our letter and then I'll share some more commentary as well. We saw high growth rates in many, if not, all of our operating metrics. Q1 revenue was $1.035 billion, that was up 29% year-on-year. And ahead of our guidance of $990 million to $1,015 million or $1.015 billion. Our Q1 bookings were $1.207 billion, that was up 31% year-on-year. And that was ahead of the high end of our guidance, which was $1.125 billion to $1.15 billion. Q1 DAUs, 97.8 million, just shy of 100 million DAUs, up 26% year-on-year. And let's dive into a couple of the areas we've been talking about growing ever since our S1. First, U.S. and Canada still growing with solid DAU growth of 22%. APAC 40%. Japan one of the largest gaming markets growing 48% year-on-year, and India growing 77% year-on-year. We'll talk a bit about some of the performance, things we're doing on our app and ecosystem to support that. And on demographics, very large opportunity for us over [13] (ph). 13 and up DAUs grew at 36% year-on-year. And now our DAUs are at 62% over 13. On hours, we hit 21.7 billion hours in Q1, that's up 30% year-on-year. Similar to the DAU trend, US-Canada 27%, APAC 40% -- 44% growth. Japan hours 50% year-on-year. India hours 78% year-on-year. 13 and up 40% engagement growth year-on-year. And on the hours, very similar to DAU, 64% of the hours in 13 and up. Continuing on our effort for thoughtful cost management, combined with our growth in Q1, our cash from operations was $443 million, that was up 86% year-on-year. And that's 17% above the high end of our guidance, which was $380 million. Free cash flow in Q1, $426 million, up 123%, 18% above the high end of our guidance. Just a little dive on some of the operational efficiencies we've been focusing on. Trust and safety up 8% year-on-year, now 13% of revenue, 11% of bookings. I want to highlight, as we generate this operational efficiency, quality continues to go up. AI continues to be a key component of our efficiency there. And we're getting better on all fronts. AI-driven moderation has really driven the quality of our system, both for content, safety and communication safety. Our personnel costs exclusive of stock-based comp were $238 million. Want to highlight, these are growing less fast or slower than bookings and revenue at 23% of revenue and 20% of bookings and we're getting great leverage here and more leverage to come as we start to continue to accelerate our coding efforts with AI. At the very same time where we would like to see more money moving in addition to our bottom line is creator earnings. DevEx was up 39% year-on-year in Q1 at $281 million, that's 27% of revenue, 23% of bookings. Our creators are on track for earnings over $1 billion this year for the first time ever. And I want a dive a bit into our investments on creator success and making them more successful. We highlighted a few of them. Differential Roblox pricing is really working. We shared some of the results here in our letter and the creator community is really getting into this. Also, the inexperienced price optimization that we rolled out is giving us roughly 4% more in median creator earnings for creators who are participating. We're now at 35% of top 100 experiences by spending using price optimization. We've seen some experiences do as well as 15% improvement in earnings, including [indiscernible] and really satisfying thing here. When we started running this optimizer, prices went down, not up, which is really just a great testament for helping creators find more revenue in a really an engagement and spending positive way. Also last week, regional pricing recommendations for game passes. This means that dynamically users in, for example, India or Brazil will see different prices than they would if they're in the UK. Our early testing is showing really promising results. We've only released it for game passes. Stay tuned, we're going to be adding in-game and avatar marketplace items. Going over to search and discovery, we want to highlight -- we really try to surface diversity in content in a fair way. And this is really, really important, because 90% of the traffic on Roblox originates from our homepage so this is a really crucial channel. We said publicly and I would say not just on Roblox, but across the industry a belief and commitment to transparency in search and discovery algorithms. And we have started outlining how retention, engagement, monetization, and intentional co-play are signals. We've gone so far as to make these signals available as much as possible on our analytics dashboard for creators. So transparency, but giving feedback to creators so they can see how they're doing on these signals. We have a lot of creators of all sizes. We're trying to really drive search and discovery, not just with short-term optimization, but factoring long-term ecosystem health, which is really long-term enterprise value, into our search and discovery and recommendation algorithms. I'll share a few results. Our top 100 creators now earned $6.7 million on average in the last 12 months. That's up 35% versus the 12 month period ended March 31st, 2024. And the top 100 creators earned over $1 million in the last 12 months. That means a creator number 100, if we stack rank them by earnings over the top 12 months, creator number 100 earned over a million. So we have over 100 creators and studios supporting themselves, which is a great diversity of content. And discovery efforts are really helping. 24% of the top 100 experiences by spending in March were created in the last 12 months, which is amazing content velocity. Let's look at the top 10 creators. They earned $36 million on average in the last 12 months. That's up 28% versus the 12 months ended March 31st, 2024. We highlighted at RDC, I guess it was just last year, the goal of having a Roblox Studio valued at $1 billion. We're seeing a lot of M&A action in the Roblox ecosystem. You can read about it on the news. And we're really proud that we're starting to see this kind of growth on the platform. We've shared publicly our goal and our belief is we're going to see 10% of the gaming market by consumer spending on the Roblox platform. We're growing faster than the gaming industry as a whole, because we are a platform, we have a lot of headroom and we've also shared that one of the tools we're going to use to do this is a real focus on genres and watching how we're doing in sports and racing, how we're doing in role playing, how we're doing in battle genres and tracking these and making sure our platform from a technology point of view, search and discovery, economics point of view, can support awesome properties on that. This -- I do want to share in the three genres we're tracking, we've seen 69% year-on-year growth in these three genres that I just mentioned. A couple highlights about LiveOps. We're continuing to run LiveOps events. The most recent event was the Hunt Mega Edition, and Mega – yes, Mega stands for $1 million. We had 10 finalists compete for $1 million in cash on April 4th at our headquarters. There were over 183 million visits to our hub during this event. And I would invite you to track down this event and watch it if you want. It's really fun to watch top [five] (ph) super high quality pro gamers playing a fashion game like Dress To Impress competitively. So that's a fun highlight. On brands and ads, we announced our partnership with Google to help scale ads in formats like video and rewarded video. That integration is underway. We've also added additional tech and analytics providers, Cint, DoubleVerify, IAS, Kantar, and Nielsen. And we continue to be really excited about creating an ecosystem where our creators have a wide range of monetization opportunities, including freemium, including paid access, including ads. On brand activations, we're seeing more and more licensing type deals. NASCAR teamed up and did an activation with Driving Empire, PGA Tour, Ultimate Golf Simulator launched. We've seen European Soccer League show up with -- and I want to pronounce it right, Bundesliga. We've also seen people using our platform to reach out to young people. The Ad Council did a program with Love Your Mind to support teen mental health with resources from Headspace and Alo Yoga also updated their experience that's focused on mental health and physical wellbeing. And I'll look around and see if we can announce there's a fun food activation on the platform. I'm looking whether we can announce it. So yes, Chipotle is also activated with a repeat of their great partnership. On the AI side, we're live now with Cube 3D. We've built our own foundational 3D model and trained it on over 1.5 million licensed and publicly available data sets in the Roblox ecosystem. We now have 1.5000 experiences that are playing around and experimenting within experience generative 3D AI and this is just the beginning. We have shared publicly that we're moving forward to full 3D scene creation and we're also enabling over the next few quarters what we call 4D generation. 4D generation means not just creating props and static assets, but creating native Roblox 3D immersive assets that are functional, that include embedded code. And the example there is, cars where you can walk up, open the door, hop in the car, drive the car, and get a heads-up instrument display on the car, as well as avatars and other interactive elements. We have also done -- we are live now with a beta of a text generation API in our system using an LLM. Creators can also use this directly in experience to power NPCs that are conversational and AI characters. And we're now over 300 Roblox-created ML models that we're running in our system where we got that start way back four years ago with our first few models in trust and safety. We are running this with a focus on low latency real-time inference at low cost. And then highlighting on Safety and Civility, really our top priority since we started. We launched in April the latest iteration of our open source AI voice classifier model, which is even more accurate, runs more efficiently. This is open source and I want to highlight a personal anecdote. When I now go to GDC, I bump into companies and I've heard them say, we're using your model, which is awesome. We added three powerful parental controls in April to give parents even more control of how their children spend time on Roblox. And we joined the ROOST Consortium to contribute more of our open source work to that for this industry wide initiative to improve civility and safety. So a lot of great opportunities in front of us. And with that, I'll hand it over to Mike.
Mike Guthrie: Thanks Dave. Just a couple of comments on top line and on cash flow and margins. First thing that I found interesting in the numbers this quarter and particularly pleased with is that, a year ago our bookings and bookings growth was very concentrated at the top and a smaller number of experiences. We've dramatically expanded that this year over the last year. And if you looked at just experiences numbered 11 to 50 on our platform. A year ago, they were growing at about 5%. And this year-over-year they're growing at over 100%. So that means more developers in the platform, and frankly, more genres, which is very important as we strive to get 10% of the gaming market. And a great data point is that, just over 100 developers over the last 12 months have earned more than $1 million. So there really are a lot of developers flourishing on the Roblox platform. Number two, we're very pleased with the performance in the U.S. and Canada. Last year, or last quarter rather, we had a few questions about, which we explained about growth rates there, but we had very high growth in DAUs, very high growth in hours of engagement, and about 31% growth in bookings in the US and Canada. So great performance in the first quarter. In Europe, when you look at the geographic output, you'll notice that DAUs and hours are growing more slowly than other regions and overall, but bookings Europe is growing just perfectly in line with the rest of the world. That's still because Turkey is still offline and so that's affecting our DAUs and hours, but not having a big impact on bookings. So we're doing incredibly well and very consistently across the globe. On margins, we're just really pleased with the margin growth in the business and the cashflow generation in the business. Since we had Investor Day, late 2023 over the last six quarters, we have just dramatically outperformed the notion of 100 to 300 basis point improvement. We're just well, well above that. In this quarter, adjusting for a working capital benefit that we got in Q1, operating cashflow grew at over 70% year-over-year. Free cashflow more than doubled year-over-year, over 400 -- right about $400 million for the quarter. At the same time, we are hiring and we are retaining great people where we only diluted the business by about 2.2% year-over-year, which means our per share metrics are very strong. We think that's great for investors. So with the kind of top line growth we're driving, the kind of cashflow growth we're driving, per share metrics with a small amount of dilution look really fantastic. So all in all, the financials look great. The balance sheet is incredibly strong. We have $4.5 billion of gross cash, $3.5 billion of net cash. That number has grown dramatically over the last two years. So the liquidity of the company is really strong. So with that, we'll end our comments and open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Matthew Cost of Morgan Stanley. Please go ahead.
Matthew Cost: Great. Good morning, everyone. Thanks for taking the questions. Maybe Dave, I just want to double-click a little bit on the commentary about genres and sort of breadth of growth and kind of 10 through 50 and the top developers. I guess it seems like that's a really important driver now and you're having a lot of success. What are you doing and what can you do to keep that ball rolling? To make sure you're seeing more genre expansion, more growth from those smaller developers, obviously something that happens naturally. But what steps should we be watching for you to take as a company to help keep that momentum going? And then I have one follow-up. Thank you.
David Baszucki: Hey, Great question. I want to highlight besides RPG, sports racing and battle, we do track all of the genres in the gaming space. And there's a bunch of genres in addition to this around avatar, [sim] (ph), social, whatever, where Roblox is amazingly powerful and well on its way to having more than 10% of that genre running on our platform, either by hours, bookings, or DAU. We've taken genre as a way of breaking down the whole gaming space and looking at it over the next five to six years to build a little bit of a roadmap of what Roblox might look like when 10% of the gaming space is running on our platform. And we have identified these three genres, RPG, sports racing, and battle, as key genres to highlight both the work we have to do, but also the opportunity. A huge part of this is tech. We believe the core way the gaming space is running today is a little bit in the stone age and we think more and more in the future developers will create a single build that will both perform very well on very low-end Android in difficult, I'd say, networking environments, as well as have that exact same experience go high res on a great gaming PC, have that experience launch immediately rather than download and have that experience -- really have all the benefits of a platform like Roblox, dynamic economy, dynamic pricing, built-in safety and civility, built-in AI and all of that. So for RPG, sports racing and battle, we're really looking at, do we have the tech on the platform? And we shared it at RDC. Do we have the tech to build an amazing battle royale that runs great on a two gig RAM Android device? Do we have the tech to build a super competitive sports game with great avatars on a gaming PC? Do we have the tech to ultimately build and run a 1,000 player experience? We're also looking at economics. We've shared initially for higher price experiences, paid access. We're going to give a higher rev share. Stay tuned on that. And then on search and discovery, we're more and more rolling out ways for people to gather more users, both on and off platform. Long term, we think in addition to the great tech, we want the economics to be hyper competitive. That's why we get excited when creators make more money on the platform and stay tuned on that. So economics, technology, search and discovery, all of them, along with, of course, partnerships to make that possible.
Matthew Cost: Great, thank you. And then just going to Mike, on the differential pricing initiative, I guess, it said in the shareholder letter that it's so far to neutral to slightly accretive to margins. What innings are we in for consumer adoption of kind of those desktop payments and gift card payment options. As we move into later innings, will it become more clearly accretive to margins as you guys see it? And then, do you have any view on the announcement last night from the epic lawsuit and any ability that might have to open the aperture for you to do even more on the direct payment front? Thanks.
Mike Guthrie: Matt, thanks for your question. Since we just launched differential pricing, I guess to stick with the metaphor, it has to be the top of the first inning. I don't know how many outs there are in the inning, but it's pretty early. We have done -- we did testing before we launched and thus far, as we said in the letter, the results are good, but it's very early. It's logical to us that this is what we would see, but until we see it in practice, we of course don't know for sure. So, so far so good, but very much early days.
David Baszucki: Yes, and just on the [Apple] (ph) side, I would highlight, currently, without any messaging in our mobile apps, we do see the Roblox community amongst themselves becoming aware that they get more Roblox on web with gift card and through credit card. And so, this is so far happened organically. We're staying tuned to see what happens with the court ruling.
Matthew Cost: Great. Thank you so much.
Mike Guthrie: Thanks.
Operator: We'll move next to Jason Bazinet of Citigroup.
Jason Bazinet: I just had one quick question. Obviously, investors are very nervous about macro, and we don't have a lot of history with your company in terms of how it might fare in a downturn. So I'd just love to get your perspective on sort of the pace of innovation. Do you think that could just sort of power through any sort of potential macro weakness? Or do you think investors should sort of think about the consumer potentially weakening and therefore spending moderate a bit?
David Baszucki: I'll go first then, Mike, you go. What's interesting about this is, we were live and past results is no predictor of the future, but we have been alive in prior economic downturns. I think we were -- I'm looking around the room, I think it was 2007 or 2008, where we were alive and we saw minimal impact during that. From a high level, Roblox is something where the majority of the people on our platform don't spend money. And then for others, these are small incremental amounts. These aren't cars and houses and vacation homes. So that makes me a bit optimistic. The notion of using innovation to power through, I think that's a statement rather than an assumption. And I would say we would detangle that. I think without innovation, we're a very powerful platform, even in the midst of these economics. We see innovation as the way to drive towards 10% of the gaming space. And we do think that's important because that's what we want to get. But I wouldn't say raw innovation is needed to power through macro.
Mike Guthrie: Yes, truthfully, I don't have much to add to what Dave said. Every investor will make their own macro determinations. And investors will map businesses against that environment and decide who they think will do well against that. At this point, we obviously given the quarter that we just produced in the growth, so far we're doing quite well and we're relatively low cost entertainment, but that's where we are today. It doesn't mean that we're going to be in four quarters. I agree with Dave's comments.
David Baszucki: Yes, we don't import physical components to assemble Roblox.
Jason Bazinet: Understood. Great color. Thank you, guys.
David Baszucki: Thanks Jason.
Operator: We'll move next to Clark Lampen of BTIG.
Clark Lampen: Thanks very much. Dave, I wanted to -- I guess, follow up on the comment that you just made in response to Jason's question. You mentioned that the majority of people on your platform don't spend money right now. You guys have done, I think, a very good job over the last year or so of improving engagement rates across the aggregate user base. North America I think being a very good example of that this past quarter. You've also expanded the array of monetization options, AI capabilities, new ad tools that are very native to the sector. I'm curious, I guess, where you see the biggest opportunities of improving sort of passive hourly monetization. Ads, I know, were not going to be huge this year, but maybe remind us, I guess, sort of what's on the table for the next couple of years and where there could be bigger unlocks?
David Baszucki: When we look at our bookings per hour, we see that as a very healthy number. And we generally seen by region and by age that scale with growth. And so, we always first go back to growth rather than increasing bookings per hour. And we think there's enormous opportunity for DAU and hourly growth. Some of this, I believe, will come naturally as we analyze many of the genres on our platform, irrespective of how we are monetizing the genres I mentioned, RPG, sports and racing and battle. Typically amongst older users, I think as people would look at bookings per DAU or bookings per hour, and don't hold me to this, do your own research. I think you would find those typically monetized even higher than we monetize. So I think what we'll see is, as we go after these genres and we move to some of the targets in these genres, we'll see a natural ability for the creators on our platform to monetize better.
Mike Guthrie: And Clark, just to add to that [indiscernible] just to finish up, market is as large as gaming at $180 billion, even in a market that was flat to even contracting, we're still around 3%, a little under 3%. So in this quarter with 31% growth, we are continuing to grow market share. That market share is still very, very small in a very, very large market. And the track record of growing that market share over the last few years hasn't been very good. And in this quarter, we're starting to see genres and, as we said, more developers really making a very good living on the platform. I think the dynamic for continuing to grow share is very, very good here.
David Baszucki: Yes. And I would say, just to add to that, that doesn't mean we ignore bookings per hour. It means, we focus first on genre expansion and DAU hour expansion. In the backdrop, we already mentioned three on the call. Automatic price optimization improves bookings per hour. Regional pricing, we're not sharing any numbers in the early developers, improves bookings per hour. And finally, as we move our really payments more of them to higher leverage type payments also improves our ability to move that money back. So both -- I think the big one is moving genre expansion and just growing, but in addition we do focus on bookings per hour.
Clark Lampen: Can I just ask a very quick follow-up on the sort of direct payments push right now, has that in any way changed the way that you guys look at the opportunity with gift cards or is that sort of really just augmented the push with a more elegant, I guess, mechanism for users re-upping their Roblox balances?
David Baszucki: The Roblox user base is very communicative and savvy. And the more we move to giving Roblox proportionate to the amount of raw cash we can put into our system, the more they tend to become aware of that and nudge in that direction. Our gift card business is very, very healthy, and consumers are becoming more aware that with gift cards, they do get 25% more Roblox than they might get from a mobile native payment.
Clark Lampen: Thank you.
Operator: We'll move next to Cory Carpenter from JP Morgan.
Cory Carpenter: Thanks. Good morning. I had two. On advertising, you mentioned earlier that the integration work with Google is underway. Just hopefully you could talk about what that rollout looks like and if that's something that you'd expect to be perhaps a meaningful contributor to bookings this year? And then also in the shareholder letter you talked about being in a position to reinvest a little bit. Could you just talk about your biggest priorities on the investment side and where you plan to reinvest in the second half of the year? Thank you.
David Baszucki: I'll go first on -- any bookings is meaningful to us, so advertising is already from that definition contributing meaningful as far as when we break it out. I'll leave that up to Mike and we are seeing growth in all the various advertising channels. On the reinvestment, when we look at where we spend money, we would like payment processing to go down. We would like personnel costs to be balanced and grow slower than bookings and revenue and become more efficient as we AI accelerate it. We would like our infra trust and safety costs to go down relative to bookings, but at the same time get more efficient and our safety to get -- continue to increase quality and performance from AI, that leaves the two things we would like to go up, which is payments to creators, and we said over $1 billion, and slow improvement in our margins. So that's the breakdown on those five. Mike, you can talk about if and when we'd break out at.
Mike Guthrie: Yes, we said we'll probably do that when we feel like the number is big enough that it really moves the needle. To Dave's point, of course, any revenue is meaningful, but it's not a very big business today. And so, I would just -- the core business is doing so well, it's growing so quickly, it's dominating the financial performance of the business right now. And so, that's really where we should focus. And obviously, it's going to be -- we're excited about where we are with ads. We're excited about our partnership with Google. And as soon as we have really good data to share with people, we will.
Operator: We'll move next to Shweta Khajuria of Wolfe Research.
Shweta Khajuria: Okay. Thank you for taking my questions. Let me try two, please. Could you please talk about the rate of margin improvement through the year? How should we think about it as we go through the year? And then the second is, just on AI powered tools. And you've talked about this in the past that developers use. How should we think about the flow through or the benefits that you are seeing from that? Is that just time saved for developers? Are you seeing economic benefits? And where should we be seeing them? Thank you.
Mike Guthrie: Yes, thanks for the question. On margins, let me just take a step back. Over the last five quarters, margin improvement in the business has gone 260 basis points, 710 basis points, 1,010 basis points, 510 basis points, 750 basis points. So we've had a pretty dramatic increase in margin. We've guided this quarter to 310, 314 actually basis point improvement in our guide -- at the high end of the guide. And we've given you guidance for the full year. It is pretty easy to do the math. Basically the way we -- with guidance for the full year, on top line, we baked in the beat on bookings and we basically kept the margins for the full year the same. So you can do -- again, you can do the math on the back half of the year. I'm more than happy to say we will not continue to improve 700 basis points year-over-year. It's not going to happen. What you will see from us is growth rates in cash flow in excess of growth rate in bookings for quite a while, which is very positive. But we have so outperformed our guidance back from late 2023 on margin that we've delivered multiple years of improvement in a single quarter. Last Q3, for example, over a 1,000 basis points. It's like three years plus at the high end. So we've pulled that in fairly quickly and pulled that cash flow in very fast. But you can do the quick math on the back half of the year.
David Baszucki: On acceleration of human potential with AI, I'll share it in three separate areas, both Roblox engineering creators on our platform and then users on our platform. For both Roblox engineering as well as creators on our platform, we view AI as a human acceleration tool that will allow individuals to do more. I was making the metaphor I used to use a calculator. This is a very powerful calculator that can leverage people a lot more than a calculator. But I do believe we'll continue both internally as well as on our creator platform to see higher quality and more output and more creative output while still having humans in the loop. And I believe long-term we will see people coupled with the AI they use as the overall output of that person. And so, we're making available code generation, 3D object generation on our platform. Stay tuned, because what I shared in my prior comments is our goal is full 3D scene creation. Describe the environment you would like, describe the objects in it, and generate that whole thing. Coupled with 4D generation, non-static objects, interactive things, cars, humans, animals, things that you really can interact with rather than static objects. And then finally, in the third segment for the experiences and games on Roblox, there's a bit of unpredictability here in what are people going to build when they have native embedded 3D generation and text generation in their experiences. We're going to see, my hope is we're going to see generative 3D fashion experiences, for example, where people can describe what they would like to wear and other things within games so everyone on Roblox can be more creative. And just for the operator, we have time for one more call. Operator Thanks, Dave. Thanks, Mike.
David Baszucki: Or one more question.
Operator: We'll move next for the last question, which is Ken Gawrelski of Wells Fargo.
Ken Gawrelski: Thank you for the time. I appreciate you fitting me in. Just one for me, could you talk a little bit about the status of the Shopify partnership and also just more broadly, opportunities on the e-commerce side to drive e-commerce outside of maybe even the curated experiences that are on the platform today, but to kind of broaden the aperture a little bit on the e-commerce side. How important and how strategic is that to the business in the longer term? Thank you.
David Baszucki: I think it's augmentative and important at the same time. It's part of a vision not just of getting to 10% of the gaming space but ultimately getting to 1 billion daily active users on the platform. And we've shared that as we move to 10% of the gaming space on the platform we roughly estimate that could be around 300 million daily actives. Our goal is 1 billion. And as we go to 1 billion, we do believe, in addition to the physical shopping that we do, the 2D shopping we do by ourselves, the fun that we've seen in a lot of fashion and clothing-oriented experiences on the platform will continue to expand to the purchase of physical items as part of that. The Shopify integration is early. We're not -- we do not yet have a full on simulation of Stanford Shopping Center on platform where one can walk around with a friend, try stuff on and buy it. But we do see that as an interesting opportunity. We also see physical shopping as a way to fully attribute on experience advertising and close the loop on that. So it's important, but we're still in the early phases of this.
Stefanie Notaney: Well, thank you for joining us today. And that concludes our conference call.
Operator: Thank you. And that does conclude today's conference call. Thank you for your participation. You may now disconnect.